Operator: Greetings, and welcome to the Fuel Tech 2024 Fourth Quarter Financial Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Devin Sullivan, Managing Director of the Equity Group. Thank you. You may begin.
Devin Sullivan: Thank you, Darryl. Good morning, everyone, and thank you for joining us today for Fuel Tech's 2024 fourth quarter financial results conference call. Yesterday, after the close, we issued a press release, a copy of which is available at the company's website, www.ftek.com. Our speakers for today will be Vince Arnone, Chairman, President and Chief Executive Officer; and Ellen Albrecht, the company's Chief Financial Officer. After prepared remarks, we will open the call for questions from our analysts and investors. Before turning things over to Vince, I'd like to remind everyone that matters discussed on this call, except for historical information are forward-looking statements as defined in Section 21E of the Securities Exchange Act of 1934 as amended, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and reflect Fuel Tech's current expectations regarding future growth, results of operations, cash flows, performance and business prospects and opportunities, as well as assumptions made by and information currently available to our company's management. Fuel Tech has tried to identify forward-looking statements by using words such as anticipate, believe, plan, expect, estimate, intend, will and similar expressions, but these words are not the exclusive means of identifying forward-looking statements. These statements are based on information currently available to Fuel Tech and are subject to various risks, uncertainties and other factors including, but not limited to, those discussed in the Fuel Tech’s annual report on Form 10-K in Item 1A under the caption of Risk Factors and subsequent filings under the Securities Exchange Act of 1934 as amended, which could cause Fuel Tech's actual growth, results of operations, financial conditions, cash flows, performance, business prospects and opportunities to differ materially from those expressed in/or implied by these statements. Fuel Tech undertakes no obligation to update such factors or to publicly announce the results of any forward-looking statements contained herein to reflect future events, developments or changed circumstances or for any other reason. Investors are cautioned that all forward-looking statements involve risks and uncertainties, including those detailed in the company's filings with the SEC. With that said, I'd now like to turn the call over to Vince Arnone. Vince, please go ahead.
Vince Arnone: Thank you, Devin. Good morning, and I'd like to thank everyone for joining us on the call today. Let's begin with a short review of our 2024 financial performance. Before we discuss the improved landscape of business opportunities that we see for 2025, revenues for 2024 were $25.1 million, which were at the lower end of our guidance range of $25 million to $26 million, and reflected higher revenues in our FUEL CHEM business segment, which were offset by the impact of delayed project execution, and the timing of air pollution for control awards in our APC business segment. During the year, we made continued progress towards commercialization of our Dissolved Gas Infusion or DGI business initiative with a new demonstration scheduled for early in the second quarter of this year and a number of potential opportunities that we hope will manifest in 2025. We continue to be good stewards of our capital and ended the year in a strong financial position with cash, cash equivalents and investments of approximately $30 million and no long-term debt. In summary, despite making advances in several areas, 2024 fell short of our expectations. However, we have commenced 2025 with a renewed sense of optimism for our businesses. Let's start with the discussion of our Chemical Technologies business, or FUEL CHEM. The FUEL CHEM business segment is starting 2025 with the best performance that we have seen in several years. The primary drivers for the improved performance are the return to full operation of our base accounts, unimpeded by unscheduled equipment downtime and the incremental contribution from the new commercial accounts that we added in the fourth quarter of last year. As a reminder, our FUEL CHEM program addresses the needs of coal-fired utilities and other fossil fuel-based operators who recognized our ability to assist them in reducing downtime, improving plant operations and maximizing revenue generation during periods of high electricity demand. Regarding opportunities for new business, we are pursuing an additional FUEL CHEM accounts opportunity that will likely commence late in the third quarter of this year with the demonstration of our TIFI Targeted In-furnace injection technology on a coal-fired unit for a new customer in the Midwest. If all proceeds as planned, we would expect to have a commercial agreement by year end or early in Q1 of 2026. With respect to international FUEL CHEM opportunities, we remain in discussions with our partner in Mexico to expand the provision of our chemical technology in that country. Based on conversations with our partners in Mexico, it is our understanding that the recently elected government is targeting the implementation of environmental policy aimed at the reduction of pollutants that cause climate change. As Mexico is planning to use the heavy fuel oil generated from their oil refining operations as fuel for power generation for the near-term future, we are hopeful that our FUEL CHEM program will be an integral part of President Sheinbaum’s plan. Now let us turn to our APC business segment. I had noted earlier that our 2024 performance lagged due primarily to customer-driven delays on existing projects and to the timing of new project awards. These delays can be caused by many different factors, and can include delays in project budget appropriation, supply chain challenges or a variety of other circumstances. We are encouraged by our recent awards last month, totaling $1.6 million, and the expectation of an additional $4 million to $5 million of total contracts being awarded by early in the second quarter. These potential awards cover the majority of our emissions control suite of solutions including Ultra, SCR and SNCR. Additionally, as a general statement, I want to emphasize that we are starting 2025, with the best portfolio of APC business opportunities that we have seen in several years, both domestically and internationally, and I'm confident that we are going to capitalize on these opportunities. In addition to the $4 million to $5 million in near-term awards, on noted above, we are following incremental opportunities for the municipal solid waste market that have a good probability of coming our way late in the first half of this year, which are driven by state-specific regulatory requirements. And lastly, for the first time in several years, we are pursuing some larger contract value inquiries related to the expansion of power generation in this country in support of the rapid development of data centers. Industry research estimates show that global data center power market is expected to expand significantly over the next several years with both the owners and operators of these facilities, along with utilities and major data center markets, preparing to invest billions of dollars on infrastructure, including the emissions control solutions to address an expected surge in electricity demand. This market is not unfamiliar to Fuel Tech. In 2018, we signed an agreement for a domestic data center site, where natural gas was used for backup power generation. The scope of that project included our SCR and urea direct injection technologies, along with ancillary systems to reduce NOx emissions from backup power sources. Regarding the regulatory front, we are not expecting any specific tailwinds that would come from the implementation of new regulation, as the new administration is not likely to implement regulations that we're working through the process of implementation. It is important to note that the opportunities that we are following today are not contingent on the implementation of new regulations. As a reminder, in June of last year, the Supreme Court granted states and industry applicants request to stay the Good Neighbor Rule. In response, EPA stayed the Good Neighbor Rule in August for the 12 states, where the rule is still active. As we had discussed on previous calls, the rule originally required 23 states to reduce emissions of nitrogen oxides from power plants and certain industrial facilities to limit their impact on downwind states. In October, EPA stayed the entire rule and in December, it was remanded back to EPA by the D.C. Circuit Court of Appeals. So EPA could address the issues raised by the Supreme Court. The Supreme Court has upheld the remand of the rule back to EPA. We will continue to monitor the status of this rule to better understand the impact of future NOx regulations for existing clients. We are continuing to monitor progress of EPA's rule for large municipal waste combustor units, which is independent of the Good Neighbor Rule. This rule reduces the nitrogen oxide emissions requirements for large MWC units. Fuel Tech has had a long history of assisting this industry and meeting its compliance requirements and we have had discussions with customers in this segment to support their compliance planning. The final rule has been delayed by EPA until December 2025, with compliance deadlines expected three years from the date of issue. Now moving to our DGI technology. Our ongoing business development initiatives continue to gain momentum. We look forward to exhibiting DGI at Aquaculture 225 in New Orleans, which commences tomorrow. Held every three years and known as the Triennial, the event is the largest aquaculture conference and train show in the world with nearly 4,000 attendees from over 90 countries. With respect to product demonstrations, we are commencing an extended demonstration at a fish hatchery in the Western US early in the second quarter, which is expected to last 9 to 12 months. This demonstration will have defined test protocols to evaluate the benefits of the DGI technology resulting from the supply of consistent and precise levels of dissolved oxygen and the raising of Game fish in a controlled environment. In addition to this demonstration, discussions are progressing with the municipal wastewater treatment facility in the Southeastern United States. And we are pursuing multiple other end markets of interest for DGI, including pulp and paper, food and beverage, chemical and petrochemical and horticulture and we look forward to addressing these markets prospectively as we continue to advance towards commercialization. Based on our effective backlog at year-end 2024, and recent awards, the APC business development activities that we are pursuing and our previously noted expectations for FUEL CHEM, we expect that total revenues for 2025 will exceed $30 million, with both business segments exceeding their performance in 2024. This base case outlook excludes any material contributions from DGI, any significant contributions to EPSA from any new EPA regulations and any impact from new business material development activities for FUEL CHEM. Now in closing, I want to express my thanks to the Fuel Tech team for their continued and ongoing dedication and contributions to our business. We are very encouraged by the outlook of our business as we commence 2025, for FUEL CHEM, APC and for our developmental opportunities for DGI. I thank our shareholders for their continuing support and reiterate to you our focus on delivering long-term shareholder value. Now I'd like to turn the call over to Ellen for her comments on our financial results. Ellen, please go ahead.
Ellen Albrecht: Thank you, Vince, and good morning, everyone. I'll start off today by reviewing our fourth quarter results. For the quarter, consolidated revenues declined to $5.3 million from $6.3 million in the fourth quarter of 2023, reflecting a decline for the APC segment from the prior year period. The APC segment declined to $1.8 million from $2.8 million primarily due to the timing of execution on projects and services during the quarter, while the FUEL CHEM segment revenue was essentially unchanged at $3.5 million. Consolidated gross margin for the fourth quarter declined to 42% of revenues from 51% of revenues in the fourth quarter, reflecting decreases in both APC and FUEL CHEM gross margins. APC gross margin declined to 36% from 55%, primarily due to product mix and lower segment revenue. FUEL CHEM segment gross margin declined to 45% from 48%. Consolidated APC segment backlog at December 31, 2024 was $6.2 million compared to $7.5 million at December 31, 2023. Backlog at December 31, 2024, included $1.9 million of domestic delivered project backlog and $4.3 million of foreign deliver project backlog as compared to $2.6 million of domestic project backlog and $4.9 million of international project backlog at the same period in 2023. We expect that $4.5 million of the current consolidated backlog will be recognized in the next 12 months. As Vince noted, year-end backlog does not include the $1.6 million of new contract awards announced earlier this month. Taking into account these latest contracts and the additional $4 million to $5 million of new awards we expect to close early in the second quarter, backlog should improve steadily through the first half of 2025. SG&A expenses increased to $3.9 million from $3.7 million in last year's fourth quarter, reflecting the timing of employee and employee-related expenses. Research and development expenses for the fourth quarter rose modestly to $405,000 from $367,000 in the same period a year ago, mainly attributed to the continued investment in water treatment technologies and more specifically, our DGI systems. Our operating loss was $2.1 million compared to a loss of $801,000 in last year's fourth quarter, reflecting a reduction in overall revenue, a shift in margin contribution from product mix and higher operating expenses for the quarter. We continue to take advantage of the favorable interest rate environment. And as of December 31st, 2024 have invested the majority of our $30 million in held-to-maturity debt securities and money market funds. This generated $283,000 of interest income in the fourth quarter and $1.3 million of interest income for all of 2024. Our net loss for the quarter was $1.9 million or $0.06 per share compared to a net loss of $539,000 or $0.02 per share in the same period one year ago. Adjusted EBITDA loss was $1.8 million compared to an adjusted EBITDA loss of $646,000 in the same period last year. Moving to the results for the full year 2024. Consolidated revenue declined to $25.1 million, which came in at the lower end of our guidance range of $25 million to $26 million, reflecting a 17% decrease in total APC segment revenue, partially offset by a 2% increase in FUEL CHEM revenue. The decline in APC revenues was primarily driven by the impact of delayed project execution and timing of APC awards and the increase in FUEL CHEM revenue was due to renewed orders from previously dormant customers as well as the addition of a new customer following a successful site demonstration. Consolidated gross margin for 2024 marginally decreased to 42% from 43% last year, reflecting a slight decline in both the APC and FUEL CHEM gross margin. SG&A expenses for 2020 increased by 7% to $13.8 million from $12.8 million in 2023, which fell slightly above the high end of our forecasted range, reflecting an increase in employee-related costs and other expenses. For 2025, we expect SG&A expenses to increase modestly from prior year. Research and development expenses for the year were $1.6 million compared to $1.5 million in 2023. While a large portion of our R&D spend is related to commercializing our DGI technology, we also continue to explore projects and initiatives for our core business technologies. Strategic expenditures and commercializing our DGI technology will continue throughout 2025. Operating loss was $4.7 million for 2024 compared to an operating loss of $2.7 million in 2023, reflecting lower segment revenues and slightly higher operating expenses. Net loss for 2024 was $1.9 million or $0.06 per diluted share compared to a net loss of $1.5 million or $0.05 per diluted share in 2023. Adjusted EBITDA loss was $2.2 million in 2024 compared to an adjusted EBITDA loss of $2 million in 2023. Lastly, moving to the balance sheet. Our financial condition remains very strong. As of December 31, 2024, we had cash and cash equivalents of $8.5 million and short- and long-term investments totaling $21.2 million. Similar to 2023, our largest use of cash in 2024 was the incremental reinvestment of $6 million in debt securities to drive a sustainable long-term financial profile. Working capital was $23.8 million or $0.77 per share and stockholders' equity was $42 million or $1.37 per share, and the company continues to have no outstanding debt. We remain confident in our ability to fuel our growth initiatives, pursue new product and market opportunities and maintain our strong financial position, which we view as important as an important competitive advantage. We remain optimistic about our US and international opportunities for 2025 and beyond. Thank you. Now I'll turn the call back over to Vince.
Vince Arnone: Ellen, thanks very much. Operator, let's please go ahead and open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: Hey, good morning, Vince, Ellen. Thanks for taking my question.
Vince Arnone: Good morning, Sameer.
Sameer Joshi: Yeah. So thanks for providing the outlook, the $30 million -- exceeding $30 million in revenues for 2025. I'm assuming this implies that you're confident like your confidence level is high on securing that additional FUEL CHEM customer as well as this additional APC orders of $4 million to $5 million actually materializing. Are those included in this outlook?
Vince Arnone: On the APC side, definitively, yes, they absolutely are. They'd be included as part of our outlook that I gave relative to expecting greater than $30 million in revenues. Relative to the additional FUEL CHEM account, as I stated as part of my commentary, we are not expecting a great deal of contribution from that new account in 2025. We're expecting that we're going to be able to bring another commercial account into our hands late in the year, but we wouldn't expect a lot of contribution on the top line for that. For FUEL CHEM, as I mentioned, what we are realizing is the fact that for the first time in quite some time, all of our base accounts are indeed running at what I would call normalized rates. And we don't have, as we sit here today, any downtime that's being created by equipment malfunction, not ours necessarily by plant equipment malfunction at those plant sites. And we are getting some year-on-year contributions from the new accounts that we added in 2024. That's a primary driver for why we expect to see a nice increase in revenues for Chemtech in 2025.
Sameer Joshi: So do you have any estimate, just curious about this -- the extended plant outages caused on your FUEL CHEM revenues?
Vince Arnone : No, I'd say that, it's impossible for us to be able to determine anything that would be unplanned. We are made aware on a year-by-year basis of planned outages, because these utility units do take planned outages on a recurring basis, there's systematically scheduled for required maintenance on those units, and they typically occur doing what I would call the lesser power demand times of the year that would be just about starting now springtime and then in the fall as well. So we are giving some advanced notice on those. And those we can plan and forecast for, we cannot forecast for anything that happens if there's a turbine issue or any other major equipment impact at that plant site.
Sameer Joshi: Understood. Just one more on this sort of top line question. I think you mentioned the first quarter is -- for APC is turning out to be one of the strongest quarters in the last few years. Like should we like expect revenues for 1Q to be sort of the most in maybe two or three years' time?
Vince Arnone : Sameer, to be specific, I actually said that Chemtech is actually experiencing the best first quarter that we have seen in years and not APC. We are -- as I mentioned, we are expecting to see some additional order activity or APC here in this next month to two month time frame. That's why I had mentioned the expectation of $4 million to $5 million in additional awards. So, no, we would not expect to see anything unusual for APC revenue in Q1. It would just be working off the backlog that we had in place from the end of 2024.
Sameer Joshi: Understood. Moving on to gross margins. I think you have pretty steady gross margins over the last few quarters. I think the December 2023 quarter was slightly better than the rest. But going forward, especially given the higher expectation of revenues, should we expect better gross margins as well for the year?
Vince Arnone : I would think as a general statement for chemical technology for the year, we should see a return to what we had been seeing historically prior to 2024, which would be in that 49% to 50% range. 2024 was indeed impacted by, as I mentioned, unplanned outages, whereby -- where we have significant fixed costs at some of our base facilities, we're just not able to cover those fixed costs as well. And we did have a demonstration during 2024 and for demonstrations, we often offer those demonstrations at something less than what I would call a standard commercial price. So 2024 on Chemtech was a little bit depressed from the norm. It should return back to the norm in 2025. And on APC, APC is the margins driven by the product mix of the products that we'll sell to an end customer. Some of our products will generally have higher or lower margins than others. So that is impacted. And then depending on the level of ancillary revenues that we have sale of spare parts and any specifical engineering service activities that we provide. Those are typically higher margin activities as well. So to the extent that we would have an uptick or downtick in those opportunities that could have an impact as well. So I still expect APC to be in a similar range, 35% to 38%, somewhere in that range on an overall basis. But then depending on the impact of product mix as we win and execute as awards throughout the year.
Sameer Joshi: Understood. Maybe the next question -- maybe Alan's commentary on the SGA being modestly high and but no -- on the front, I think it was mentioned that you will continue to invest in BGI and that will drive R&D. But do we expect like, say, a 10% increase in R&D year-over-year? Or how should we look at the R&D trend over the next four quarters?
Vince Arnone: Yes. As we sit here right now, I would expect R&D to be similar year-on-year in 2025 to 2024. We're not expecting an extraordinary increase for anything in particular in 2025, okay? And actually, it's the same as we look at SG&A for 2025 versus 2024. We'll have a small increase, but nothing material.
Sameer Joshi: Okay. Good. On the DGI, I think there was a previous demonstration project at Aqua facility – aquaculture facility is that expected to convert into any kind of revenues? Are you waiting for the second opportunity to be the one that commercializes in the end of the year?
Vince Arnone: Yes. So on DGI specifically. So the demonstration that we're going to be starting here shortly, as I mentioned, is likely to be a 9 month to 12 month demonstration. So that doesn't mean that depending on the results of that demonstration that this particular customer won't make a decision to buy or rent or whatever commercial transaction we engage in or could engage in, that doesn't mean that, that can't happen in 2025. It is possible. But that's not the only opportunity that we are pursuing as we sit here today. And we -- as we sit here today, we are expecting to have commercial revenues in DGI in 2025 in some form or another whether they be rental systems or a capital sale.
Sameer Joshi: Should we expect -- I know maybe you may not be able to answer this question, but would it be a few tens of thousands or a few hundreds of thousands initial revenues for 2025 from..
Vince Arnone: Difficult for me to answer specifically. I'd like to say it's the latter Samir. But again, I can't actually make a forecast on that as I sit here right now.
Sameer Joshi: Got it. Last one from me. You described the regulatory impacts and benefits, just one thing on sort of regulatory front. Do you have any impact of tariffs that might affect your supply chain or any other aspect of your business?
Vince Arnone: Yes. So we -- thanks for asking that question. Obviously, it's on every company's mind as we look to do business here in 2025. We're evaluating what the potential impact could be for what we actually sell to our end markets, the most likely impact could be related to steel and aluminum tariffs. What we are seeing already is that some of the equipment that we do subcontract to have fabricated, obviously, uses those materials. And to the extent that those manufacturers or fabricators are procuring steel either domestically or international sources, those tariffs are likely going to come in our direction in some way or form. And then we would look to go ahead and pass-through that price increase to our end markets, as well as we sell our products and technologies. So that's probably the largest impact that we're going to see that we see today. We have some other smaller componentry that, again, we don't source anything directly ourselves, but that would be sourced by our supply chain that could be coming from out of country, China, as an example. But again, those price increases would be then passed on to supply chain that we would actually procure from, and as those come to us, we would look to pass that on through to our end customers as well. So it's difficult to fully understand what the total impact is going to be as we sit here today because everyone is trying to figure out what those impacts are going to be.
Sameer Joshi: Understood. Fair enough. Thanks for taking my questions, and congrats on all the progress you are making on all three businesses; APC, FUEL CHEM and BGI as well as. Congrats.
Vincent Arnone: Sameer, thanks very much.
Operator: Thank you. [Operator Instructions] Our next questions come from the line of Marc Silk with Silk Investment Advisors. Please proceed with your questions.
Marc Silk: Hey, Vince, thanks for taking my question.
Vincent Arnone: Hey, good morning, Marc.
Marc Silk: So on FUEL CHEM, for the past four years, it didn't make sense for some existing and prospective FUEL CHEM customers to invest in improving or making their plants more efficient. Do you see a scramble for these customers to take care of this now that demand is increasing for that type of energy? And are there other new opportunities popping up out of the blue?
Vincent Arnone: I wouldn't say that we're having opportunities pop out of the blue as we sit here right now. So just as a reminder, our FUEL CHEM technology is -- it really is a specific application in terms of units that truly can benefit from using it, okay? So where we added a new account last year, it's an account that in an area of this country that doesn't have a lot of supplemental power in that particular region, including renewables or other sources. So it benefited them to be able to ensure that when they needed to have uptime during periods of high electricity demand that they could have that uptime, and they needed our program to provide them with the assurance that they wouldn't lose out on the opportunity to generate electricity during those high-demand periods of time. So the additional count that I referenced for 2025 later this year is in the same region of the country where the account from last year is located and they're being driven by the same reasons. So we are trying to uncover, if there are going to be additional pockets of need, if you will, for chem tech technology, but it's not like there are going to be significant additional accounts that are out there just waiting for us to help them with their power generation because the other factor is the units need to be burning coal that is difficult for that unit to burn. In other words, when they are running at some of their higher load requirements that they are generating a lot of slagging and following on the inside of that boiler that requires our program. So there are a few key factors that are necessary to be in place that would require an end customer's unit to need our chemical technology program. But we're -- any time we have the opportunity to add a new base account, we jump as quickly as we can.
Marc Silk: Okay. Can you give us more color on the municipal waste combustion units and the possible opportunities over the next few years?
Vince Arnone: Yes. So I'll comment more specifically on what I think is coming here, this year because the work that I talked about coming our way towards the second -- sorry, towards the end of the first half of this year, is basically long-term customers that we've been dealing with as Fuel Tech for many, many years. Their needs are being driven by state regulatory mandates. And so that's why we have the confidence in being able to say that the units that we're talking about with these customers are going to go forward and likely turn into contracts as we move towards the end of the first half of this year. They are municipal waste combustor systems, but they are not being driven by the federal EPA MWC rule that I mentioned as well, okay? So that's for this year. Now the additional municipal waste combustor rule, that's in progress, right? And it's been delayed. They're supposed to be coming up with finalization of their rule later this year. But given this administration's perspective on new regulation becoming finalized, I'm not necessarily confident to be able to say that that we're going to have drivers from that new rule as we sit here right now. We need to see how that plays out
Marc Silk: Okay. And -- can you further discuss the data center opportunities? And how would you go about capturing this business?
Vince Arnone: Yes. As I mentioned, data centers, they're not new to us. We had a contract for 20 units for data center – data center backup power back in 2018, 2019 time frame and we supplied SCR for natural gas turbines, okay? So what we are seeing today and obviously evidenced by everything that we've seen in the press over the past few months and currently, is a scramble to build-out power generation in support of build-out of data centers in this country to the tune of investment of hundreds of billions of dollars that are being put on the table by several large entities in this country, okay? They're looking to move quickly with the data center build-out. And there's a lot of activity that would need to be done simultaneously for all of this work to get done. So what's happening is that a lot of parties that would be in the supply chain for these activities are being brought to bear and discussions are being held and fuel heck is one of those parties, because, obviously, we are one of the possible suppliers for nitrogen oxide controls on the back end of these generation systems for these data centers. Most of the opportunities that we're looking at are gas turbine related. So we are dealing directly with gas turbine OEMs as they look to go ahead and bid into the data center owners and potential operators that are looking to put these plans and projects into place. So over the past two to three months, we've had a good deal of activity. We actually have put in a couple of bids already. I expect more activity to -- to be recurring here with different suppliers over this next handful of month's time frame. So the activity in this area has picked up. These are larger contract value opportunities and to the numbers that we haven't seen in that -- since that 2018, 2019 time frame. And so we're extremely excited about the opportunity.
Marc Silk: I was encouraging, good luck going forward.
Vince Arnone: Thank you very much, Marc. I appreciate it.
Operator: Thank you. Our next questions come from the line of William Bremer with Vanquish Capital Partners. Please proceed with your question.
William Bremer: Good morning, Vince. How are you?
Vince Arnone: Hi, Bill. Fine. How are you doing?
William Bremer: Okay. Great. Let's start off with your guidance here of $30 million. I'm a little surprised at that since this company hasn't hit that range since 2019. So I am very impressed by your guidance. Can you provide a little more granularity on the top line of how that flows throughout 2025 in terms of consolidated revenue?
Vince Arnone: Hesitant to give anything quarter-by-quarter as we sit here, Bill, what I would say is, in particular, on the APC side. But on Chemtech, we typically have a seasonal quarter performance. So -- and as we look at an up-tick in that business, our increases from quarter-to-quarter would be increases over what I would call the standard quarters that we would see in prior years, okay? But as I sit here today, I'm hesitant to go into detail on a quarter-over-quarter basis other than to say that we typically have APC business that is largely more back end of the year oriented from a revenue recognition perspective than front-end oriented. And when you consider the fact that we're looking at incremental project awards coming in here in the near term, of the $4 million to $5 million level, we won't actually execute on their -- on those awards until we move into the second half of the year. So general statement Chemtech will follow, say, quarterly seasonal trends that we would have seen in prior years, but just with a higher revenue number. APC Q1, Q2, we're working off of backlog from the end of 2024, but then we'll be factoring in working off new contract awards that we're going to have in-house here. Before the end of the first half of the year, and we'll feel that up-tick in the second half of 2025. Does that make sense?
William Bremer: It does. It does. Your engineering staff must be working around the clock.
Vince Arnone: Our engineering staff is very, very busy as we sit here right now. I'm proud of the team. We have a lot of good work left to do, though. This is exciting for the company as a whole right now.
William Bremer: Agreed. Since you're fabless, I want to understand the timing of potential orders and the realization of those orders. And I know it differs from your segments from APC, of course, to FUEL CHEM. But I want to specifically target the data center opportunities in the request for proposals that you just referred to on your nitrogen oxygen controls with the gas turbine OEMs. How quickly -- and once your engineering and design team has finished this, and let's just say we're optimistic you receive an order on the data centers, how quickly can your team and your fabrication partners bring that product out?
Vince Arnone: Good question. So just as a general statement, the bids that we're actually putting in place today are there multiple unit types of bids. And they'll have delivery schedules that will be over a, call it, a three to six month period of time in terms of when we'll look to actually bring the product to customer site. So that's something, obviously, we'll work out with the customer that we would be under contract with. general statement for units of the like that we're talking about here for data centers. We're looking at around, again, from date of order to actually delivering a unit to site, 40-week time frame, thereabouts, could be less, could be a little bit more depending on the intricacy of the solution that we have for the customer. But on any given order, we would look to be able to deliver more than 1 unit on a per month basis once we start a delivery post that 40-week schedule, if you will. So that's the general range we're looking at as we sit here.
William Bremer: And that's quite quick. So I applaud you guys. And my follow-up on that is, are you seeing the fact that, hey, this is with gas turbine-related OEMs, are you seeing that, hey, the first steps of the engineering process and that template can be utilized, maybe tweaked here and there because all these data centers seem to be getting larger and larger and larger. But it seems that at least you have a template that, hey, that initial workload is a little bit less and now it's just adding a little bit more and the request for proposals from your team are getting quicker.
Vince Arnone: Good question as well. There are synergies as it relates to how we get these projects. And what we've been trying to do, and then this started out a handful of years ago is that we are looking to come up with our design solution for a variety of different types and sizes of gas turbines from those OEMs. So to your point, so that we are better prepared for a more expedient response time when those requests come our way. Secondly, as we do prepare those designs and we actually work through our supply chain to come up with cost estimates as the base for a bidding structure, we're able to leverage that work as well. So to answer your question, yes, there are synergies in that process, and we are looking to capitalize on some of those synergies prospectively.
William Bremer: Got you. Back to the $30 million top line for 2025, does this bring us to a operational income -- positive income?
Vincent Arnone: Yeah. As I sit here right now, Bill, $30 million is not going to do it in terms of getting us to our breakeven level at operating income. Ultimately, it will depend on that margin profile. If margins are higher than expectation, perhaps it's a possibility. But what I've said in the past is we probably need to get closer to $33 million to $35 million in total revenue to be able to get to breakeven on the operating income line. So we -- $30 million would likely have us fall short of operating income. As I sit here today, we would need to generate a little bit more.
William Bremer: Okay. Final question is on the cash at hand since you're basically trading for cash per share with no debt. Any interest of potentially either a little M&A here to something that could be utilized to help the company in terms of top line to get us to that point, or possibly a stock buyback, even something in the neighborhood of a few million dollars could do a lot of support for the company at this point? Just curious on your take there and the Board?
Vincent Arnone: Regarding your first question, we are looking at any sort of opportunities that could assist our end markets, whether it be small acquisition and/or licensing of technology that could provide benefit to us as a company as a whole. So that is something that we are looking at doing, and so we'll keep everyone apprised as that moves forward. And then on the second point, obviously, we've talked about stock buyback over the past handful of years. It's an ongoing discussion that we have every time we have a board meeting, and we actually have a board meeting tomorrow morning, and we'll likely be discussing that again. Our position historically is that we've thought that our business momentum, our positive business momentum, shouldn’t we actually put it out there publicly is going to be enough to drive increase in shareholder value. And as I said in my commentary, right now, based upon the landscape of opportunities that we do have, I feel like we do have that opportunity to drive shareholder value based upon that opportunity landscape without having to do a buyback. And that's obviously yet to be seen. But as I shared with you before, this is an ongoing conversation. We will continue to have it as a company.
William Bremer: Okay. If that's the case, I'd like to see some insider buys, including your Board, I hope they are listening, but the Board needs to step in here since we haven't seen that much other than yourself here and there, purchase some shares. So we would echo that. With all that, I thank you. Good luck on 2025. It seems though the turn is finally in place. Thank you.
Vincent Arnone: Thanks, Bill.
Operator: Thank you. Our next questions come from the line of Ankur Sagar [ph] with – Please proceed with your question.
Q – Unidentified Analyst: Hi, Vince.
Vince Arnone: My pleasure. How are you?
Q – Unidentified Analyst: Good. I'm great. Thank you. I just have two questions. One is actually regarding the data center opportunity. It is for sure out there that the data centers that are being built that are already in place for the AI stuff, they need the power now and they're going for now as of latest towards the natural gas and putting up the gas engines. If you can just elaborate on the opportunity where Fuel Tech products come in, is it those gas engines that are being put in place right now they need to have something for this NO2 emissions. Is that what the opportunity is? If you can just go a little bit more into detail, I would appreciate it.
Vince Arnone: Yes, not a problem at all. And you are correct with your statement. The natural gas engines, they generate nitrogen oxides when they actually burn the fuel. The data center power that is being put in place is going to be permitted as primary power and not as backup power, which means that these data centers are effectively being permitted similar to a utility site with baseloaded power requirements. And so as a result, the existing regulatory policy requires that, that type of power have nitrogen oxide controls be in place on those engines. So that is the specific driver.
Q – Unidentified Analyst: Got it. And then I think you mentioned that -- the Fuel Tech did have this opportunity and some contracts signed a few years ago. But at that point of time, the regulations require that if the data centers run at some capacity, which the network did. But you think based on the landscape and what you're hearing from these gas engine players, that is not the case. I mean, the utilization is there and the regulations are already in place for your products to be in place?
Vince Arnone: Yes, I would say yes to both statements that yes, these units that we're talking about are primary power, they're not backup power. And so they would be running full bore 24/7 to meet the needs of that data center. And absolutely existing, there is no new regulation that's required. Existing regulation requires that type of power generation requires pollution control equipment.
Q – Unidentified Analyst: Got it. And then one last one. I think in your remarks, you mentioned something about in regards to DGI, rental. I thought that with DGI, I mean these are large systems larger projects where you basically sell in the equipment to these waste water or other use cases like fisheries and all that. Is it the rental part -- is it -- if you can just elaborate on that one, is it to remove the traction from the initial purchase? And do you have any opportunities lined up in the backlog, in the pipeline, in that rental trends?
Vince Arnone: Yeah. So to answer your question, we believe that there are going to be certain end market opportunities that could benefit from a system rental scenario. And those are opportunities whereby a site is having difficulty meeting their dissolved oxygen delivery requirements for their wastewater treatment processes. And the difficulty could be driven by -- it's just a site that doesn't have enough capacity. Generally speaking, it could be a site whereby some of their existing Oxygenation Equipment is malfunctioning and it needs to go through some sort of repair or capital investment process or other reasons. But we -- we are open to, obviously, either scenario, as we look at the end customer base for DGI. But we do expect that, there will be some opportunities whereby a system rental, could be a benefit to the end customer. And yes, it could be a precursor to the capital sale as well. So it could work in a variety of different ways.
Unidentified Analyst: Will that help ultimate the purchase cycle, a little faster? Or is it just totally based on the capacity and the utilization part that you mentioned, where some are just smaller sites?
Vince Arnone: Yeah. I'm not sure, if it makes the process move faster as we sit here today. But I think ultimately, it just could provide, call it, expedient benefit to the end customer. If they do have an immediate need.
Unidentified Analyst: Got it. Okay. Thank you for taking my questions.
Vince Arnone: Thank you very much for joining.
Operator: Thank you. We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Vince Arnone, for closing remarks.
Vince Arnone: Thanks very much, operator. Once again, a significant thank you to the entirety of the Fuel Tech team, and for all of your dedication and efforts and again, thanks to our shareholder base, for your patients. I can assure you that we're working diligently to bring shareholder value to your support. Thanks very much, everybody. Have a good day.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.